Conversation:
Clive Christopher Bannister: Ladies and gentlemen, good morning, and a very warm welcome to Rathbones' 2025 Full Year Results Presentation. Can I do the admin bit? Would you mind switching off your mobile phones or somebody will be listening to me in Vladivostok or Abyssinia? So I'd be most grateful. I'm joined today in the room by our Senior Independent Director, Sarah Gentleman. Sarah, you're most welcome, and I'm joined online by other Board Directors. I'm pleased to see investors, analysts with us in person, and I'd like to say hello to the many more who are joining us online. I appreciate that you make the time whether you are long-standing shareholders of Rathbones or are engaging with us for the first time. Today is an important moment in our calendar as a company. And on behalf of the Board, I want to thank those shareholders for their interest and continued investment in our fine firm. We trade today at a 5-year high with our market capitalization at over GBP 2.4 billion. So let me set out briefly how we intend to run this morning. We will begin with an overview of the 2025 financial results and guidance from our Group CFO, Iain -- can you wave, Iain -- Iain Hooley, followed by opportunities for question, another form of health guidance. When you get -- when you want to ask a question, please wait for the microphone to come so that our colleagues who are online can hear your question. Then after a short break, we will move into the strategic presentation where our new Group CEO, Jon Sorrell -- Jon? Thank you very much. Glad everybody is recognized -- will outline a forward-looking evolution of our strategy, and we will close with a further Q&A session. Before we begin, I want to offer a few reflections from the Board, slightly tongue in cheek. It is the 284th year, so since 1742, since the Rathbones Group started in Liverpool. And I'm going to say, consistent with that long heritage, we have tried to deliver disciplined capital returns, including a 6.2% compound annual growth rate in our dividend in the last 20 years. This is a valuable and fine business. Today, we continue that tradition by announcing a dividend of 99p, which is an increase of 6.5% compared with 2024. Setting the math to one side, this has been a year of meaningful progress for Rathbones. We completed the client integration of IW&I, a major milestone that provides the foundations for a unified and much more scalable organization looking into the future. And I want to take a few minutes here to thank our colleagues across our group, 3,500 employees in 17 offices to thank them for the work that they have done exceptionally hard in the last 2.5 years to get this done. This was never taken for granted, and I want to thank you, all of you on behalf of the Board. We navigated the CEO transition smoothly as a Board and have strengthened the executive team considerably around Jon, adding further experience to support the next phase of growth. We also launched the group's first ever GBP 50 million share buyback last year, reflecting our commitment to disciplined capital allocation and this morning announced an extension to that of a further GBP 20 million. We know who owns this company, and we reward our investors accordingly. And importantly, the executive team have defined a clear strategy for 2026 and beyond, one that positions the business for long-term success. This is about being in a marathon and not just a sprint. To echo the home team's stated ambition to be the best wealth manager in the U.K. by far. From a Board's perspective, these achievements speak to a business that has strengthened its foundations whilst continuing to deliver for clients and shareholders. There is always more to be done. But the Board and I are enormously encouraged by the momentum that is building across the organization and by the clarity of purpose that now underpins the next stage of Rathbones' journey. Unrealistically, I look forward to the next 284 years. With that, I will hand over.
Jonathan Edward Sorrell: Thank you, Clive. Good morning. Thank you again for making it here heroically on a Friday, mostly in suits and ties. So thank you. We really appreciate it. And to those online as well, welcome. You're going to see a lot more of me shortly as Clive outlined, but I just wanted to take a moment to introduce the new team to you all. And so I'll start with Brad, our new CTO. It's a newly created position at the company. Already since starting on the 2nd of January, Brad has injected huge momentum into our technology effort. I don't think I've ever seen anyone so high on AI, which is terrific to see. Next, Camilla, who I think some of you will have met already, who joined in June from some other company but has just done an incredible job getting to grips with our front office team and is full of Formula 1 analogies, which I take to mean it's all about incremental improvement and achieving excellence. Next, Cassandra, I don't think I've ever spoken to a CRO whose byword is hustle. So we thought that was quite a good place to start. But recently anointed by our regulator, Cassandra, making a huge difference, huge shoes to fill, of course, following Sarah Owen-Jones, who's done such a fantastic job for us for such a long period of time. Gillian, another with big shoes to fill following Gaynor, and I'm sure delighted as our new Head of HR, our CPO, to be walking in just when compensation is being done, which is the favorite part of any CPO's calendar. So welcome to Cassandra -- to Gillian. Iain, we're all bored of. Ivo, Ivo, one of the legends of our business, I will say, 33 years young in the business, I think 11 years on ExCo and a font of huge knowledge, institutional knowledge experience on both the investment side and the wealth side and also the founder of our charities business as well, a huge generator of our business. So Ivo. Moving on to Jayne, who is Executive Chair of Rathbones Asset Management and really, in the last couple of years as well has revolutionized our approach to distribution in the business, both in terms of business development on the wealth side, but in RAM as well and really excitingly for Rathbones as a group. And there are many situations where we can bring the best of Rathbones to a client situation, and Jayne does that in spades. Mike, our Chief Operating Officer, has had the huge misfortune to have worked with me in the past at Man Group and used to be Chief Executive of Man Solutions. We have a really broad agenda of very important strategic projects that need to be delivered as a group. And Mike is going to sit at the apex of all of that and make sure that everything is, I think he promised, to be delivered on time, on budget and perfectly and beyond expectations, which was good to hear. Robert Sears, who will join us on Monday, not here today, is our new CIO. Tremendously excited about what he will bring from all of his experience in the family office world to our business. And last but not least, the force of nature that is Simonetta, who has brought an entirely different dimension to our brand, to our marketing effort, whether that's digitally or, indeed, in other forms. And we are very, very excited about what we have to come on that side as well. So with that, I will let Iain get on with the good stuff. Please do stay around in the coffee break and after today's presentations to spend some more time with the team.
Iain Hooley: Thank you very much, Jon, and good morning, everyone, and welcome. I'm going to cover 3 main areas. First, I'll run through the overview of the 2025 results. I'll then cover figures relevant to the IW&I integration and our capital position. And I'll then conclude with our expectations for margin progression and performance in 2026. So I'll begin with covering the main financial highlights for 2025. Funds under management and administration, or FUMA, increased by just under 6% to GBP 115.6 billion at the 31st of December, reflecting the recovery in asset values from the low point at the end of the first quarter when FUMA fell 5% following the announcement of the tariffs by the U.S. government. Operating income grew by 3.1% with all principal income streams growing year-on-year, benefiting from both higher average FUMA and the realization of synergies. The rate of growth in income is lower than the overall growth in FUMA as investment management fees are crystallized on a quarterly basis with the first billing of the year coinciding with the low point in FUMA at the end of the first quarter. Underlying profit before tax grew 4.6% to GBP 238.1 million. That was supported by the continued delivery of synergies, which reached GBP 76 million on an annualized run rate basis during the second half following the migration of the IW&I clients onto the Rathbones operating platform. The underlying margin increased to 25.8% for the year overall. This reflects a margin in the second half of the year of 27.5%, having recovered as expected from 24% for the first half. On a statutory basis, profit before tax grew 53.5% to GBP 152.9 million, having also benefited from a reduction in integration costs. Underlying basic earnings per share increased by 5.5% to 170.5p per share, in line with the growth in underlying profit and supported by the share buyback. We've proposed, as Clive referenced, a final dividend for the year of 68p per share, which brings the total dividend to 99p, an increase of 6.5% relative to 2024. And that's reflective, of course, of our progressive dividend policy and is underpinned by the growth in earnings. We'll now look at the principal movements in underlying PBT between 2024 and 2025 and their impact on the margin. The benefit of synergies increased as the full benefit of those delivered in 2024 came through during the year and synergy delivery then increased further during 2025. Whilst FUMA ended the year at GBP 6.4 billion higher than it began, the average level of FUMA during 2025 at the point when fees are calculated was a more modest GBP 3.3 billion higher than the average for 2024, reflecting the market volatility we experienced in the early part of 2025. Profit growth driven by the level of FUMA was therefore limited to GBP 13.4 million. Recurring costs increased as a result of inflation and the specific headwinds we've signed posted previously. Nonrecurring costs incurred in 2025 comprise those we've communicated before, which include the effect of transitioning to the technology outsourcing agreement with Investec and the effect of executive changes. You'll have seen our flows position previously in our fourth quarter trading update, so I'll just touch briefly on the main points. Within the Wealth Management segment, gross inflows remained resilient at 9.5% of opening FUMA. That's despite the focus required from the investment management teams on client migration, which took place during the first half. Gross inflows were then GBP 0.7 billion higher in the second half. Gross outflows improved relative to the prior year, though they were higher in the second half, driven in part by an uptick ahead of the U.K. budget in November. Net outflows for the fourth quarter were the lowest quarter of the year at GBP 64 million, being 8% of the total for the year. As we moved into 2026, we've seen higher-than-normal outflows relating to payments of tax to HMRC from portfolios ahead of the 31st of January tax payment deadline. The elevated level of tax-related outflows persisted only for the month of January, and it is consistent with the increase in clients choosing to crystallize capital gains ahead of the U.K. government's first budget back in October 2024. These tax-related outflows present some further distortion that we've seen in flows -- the flows picture over recent months, adding to that caused by the November budget. In addition to those specific distortions, flows of the Wealth Management segment are also subject to movement in charities mandates, which behave in a more institutional manner and flows relating to noncore execution-only services, which are inherently more volatile. These factors affect the overall headline level of net flows for the Wealth Management segment. Looking through them, we remain focused on the FUMA and flows that are the core drivers of our overall profitability. Delivering improvement in flows relating to the core discretionary private client FUMA is where our focus is strongest. Our strategy to improve these flows is focused on creating the conditions within the business that will support growth and pursuing specific growth opportunities, and Jon will talk more about that later. With regards to asset management flows, the Asset Management segment continues to operate in a very challenging environment for U.K. asset managers, particularly in relation to single strategy funds. However, it's important to recognize the areas of underlying strength within the Asset Management business. Performance across several flagship strategies remains competitive, and our investment teams have deep experience through market cycles. During the year, the Asset Management business launched 2 important new strategies, charities authorized investment fund, or CAIF, and an ex-Japan Asia fund. And whilst those funds are in their early stages and therefore, had a limited impact on the flows position for the year, they nevertheless represent important enhancements to our asset management offering. The Asset Management segment provides the investment solutions to certain of our wealth management propositions, principally the Select and managed services and the core MPS service, which launched during the year. And Jon will speak more later about how Rathbones Asset Management enhances our overall competitive position. But the funds under management managed by the Asset Management segment that relates to the wealth -- the services of the Wealth Management segment is included in the gross FUMA of each individual segment and is then removed from the Asset Management segment in order to show the consolidated group position, and that's on the intra group FUMA line towards the bottom of the table. We'll now look at the breakdown of income for the group. All principal income lines reported growth relative to the prior year. The growth in fee income reflects the higher average level of FUMA. Commission income benefited from higher transaction volumes as markets recovered and activity increased ahead of the November budget. The increase in net interest income includes interest relating to cash balances on IW&I portfolios being recognized on this line following migration, prior to which it was recognized within other income. So the other income line, therefore, shows a corresponding reduction. The increase in net interest income also reflects income synergies realized as a result of the higher interest -- net interest margin generated by Rathbones' banking model relative to IW&I's client money model. The reductions in the U.K. base rate that have arisen so far have had a relatively limited impact on the net interest margin due to margins on deposits being maintained so far and the effect of the group's treasury investment strategy, which has a delaying effect in terms of how quickly the base rate reduction feeds through to our net interest income. On advice revenues, we increased -- those increased as we look to increase a portion of our overall client base that receives the advice services in addition to investment management services. We'll look now at income margins. The margins shown on the slide are based on gross FUMA of the relevant segment, i.e., prior to group eliminations. All revenue margins have shown resilience with both fee and commission margins for the Wealth Management segment increasing year-on-year. The Asset Management fee income margin has shown some decrease as the mix of funds continues to shift more towards multi-asset funds, which have a lower annual management charge relative to single strategy funds. Our treasury income yield, which is based on the total value of the group's liquidity, increased from 225 basis points in 2024, reflecting the margin on deposits being maintained, as I touched on earlier, following the recent base rate reductions along with that benefit of our treasury strategy -- treasury investments profile, which means that interest received is not immediately impacted by reductions in the base rate. Turning now to synergy delivery in relation to the IW&I integration. Synergies delivered at the 31st of December 2025 amounted to GBP 76 million on an annualized run rate basis. That significantly exceeds our target of GBP 60 million and is delivered well ahead of the September 2026 target date we originally set at the time of the transaction. Synergies delivered during the second half of the year have been driven predominantly by the decommissioning of the IW&I operational platform following migration of IW&I clients onto the Rathbones platform. With the synergy target exceeded and the integration now complete, we consider 2025 to mark the end of the period of synergy delivery relating to the IW&I integration. However, cost discipline remains the highest of priorities, and we continue to see some opportunities for further efficiencies to be achieved, which we will deliver during 2026 as we optimize the operating platform systems and processes. We'll now look at those costs, which are recognized as non-underlying costs. The categories of those costs, which are recognized within non-underlying, is consistent with prior years. Amortization of intangible assets of GBP 45 million reflects a continuing run rate for that cost line. IW&I integration costs reduced significantly relative to the peak in 2024. We continue to incur -- we will continue to incur costs related to the integration of IW&I up to and including 2027. Those costs that will be incurred in 2026 and 2027 mainly relate to share-based awards that are expensed over the vesting period, which related to the integration. Taking into account the costs relating to those awards that will recognize -- part of which is recognized directly in reserves at the time the awards actually vest and the elements of property-related integration costs that were funded by Investec, we continue to expect the total integration costs to remain within our original guidance of GBP 177 million. Our effective tax rate for the year of 26.6%, we expect that to remain around that level during 2026. So I'll now move on to look at our capital position. Managing the group's capital in a disciplined and efficient manner is of the highest importance to us. We announced our capital allocation framework last year, which sets out our approach to deploying capital. Delivering organic growth and returning to positive net inflows of FUMA is our primary objective. The decisions we make to invest in the initiatives that will support organic growth are assessed with discipline to ensure they are fully aligned with our objectives and will deliver the appropriate return above our cost of capital. Given the importance and focus we attribute to organic growth, the threshold for investment in inorganic growth is currently very high. We maintained our progressive dividend policy and have announced today the proposed increase of 6p to take the total dividend to 99p. Over the past 20 years, as Clive referenced earlier, the annual growth rate in our dividend has been over 6% per annum. The dividend in 2025 will be fully covered as a result of the increase in statutory earnings, which reflects the reduction in integration costs. Two weeks ago, on the 16th of February, we announced the completion of the buyback of GBP 50 million of share capital, which was the first buyback we've undertaken. The group remains highly capital and cash generative with profit converting to cash over a relatively short cycle. And the rate at which capital will be generated going forward has increased as synergies have been realized and the level of integration cost reduces. So consequently, with adequate capital to support our investment in organic growth, we have today announced an extension to the initial buyback program. And subject to regulatory approval, we'll undertake a further buyback or an extension to the buyback of GBP 20 million of shares. Looking now into 2026. I'm going to set out our guidance in 3 main elements: first of all, in terms of our overall margin and how we expect that to progress over the course of 2026; I'll then cover our expectations relating to specific income streams; and finally, I'll cover aspects of our cost base. So the guidance this year is more detail than I would normally set out, but I feel that's necessary in order to explain what is a relatively complex picture as we move out of synergy delivery and invest in strategic priorities and maintain our focus on continuing to improve the efficiency of the cost base. In overall terms, whilst these factors put some downward pressure on the margin in the first half of 2026 relative to the run rate at the end of 2025, we ultimately expect to achieve our 30% margin target in the fourth quarter of 2026. So I'll begin with our margin guidance for 2026. I set out this time last year the path to a 30% underlying operating margin that took into account the additional cost headwinds that have arisen since the 30% margin target was first communicated at the time of the IW&I transaction. The path showed synergy delivery increasing the margin to 28% with the remaining uplift to 30% dependent upon organic growth in FUMA. The path was also underpinned by the assumption that the impact on the margin of cost inflation would be offset by market-driven growth in FUMA. Whilst market appreciation has offset the impact of inflation and synergy delivery has exceeded the original target, those benefits have been broadly neutralized by net outflows during 2025 and the additional cost headwinds we communicated with our 2025 half year results, along with our continuing expectation of a reduction in net interest margin as the base rate falls. Taking all those factors into account, we remain on track to deliver a 28% margin in Q4 as a result of synergy delivery, and we continue to expect to deliver a 30% margin from the fourth quarter as a result of further cost efficiencies that we have identified and will deliver through continuous improvements in systems, processes and our operating model. The achievement of a 30% margin from the fourth quarter of 2026 is based on growth in FUMA of 3% during 2026, stable inflation and interest rates being in line with current market expectations. We expect the margin in the first half of 2026 to be notably lower than the second half, reflecting the one-off investment we will be making to consolidate our client life cycle and relationship management systems using Salesforce and XPlan, which will replace InvestCloud. That will increase the first half cost relative to the prior year by GBP 9 million and by GBP 7 million for the year overall. We expect the margin to show significant progress during the second half as this investment is completed and the benefit of further cost efficiencies begin to come through. We expect the overall margin for 2026 to be broadly consistent with the second half of 2025 being in the upper 20s range. And that margin guidance takes into account all movements we expect to see in income and costs during 2026, the more significant of which I'll now just briefly cover. Within our income streams, fee income will, of course, be dependent upon the level of FUMA, which started 2026 significantly higher than the average for 2025. Commission income is expected to be around 5% lower than 2025 as volumes normalize following the heightened levels of activity in 2025 that I've referred to earlier on. Net interest income is expected to be broadly flat year-on-year, and that's a net effect of 3 factors: first, a reduction in the income margin as the effect of recent base rate reductions flows through fully, along with the effect of further rate cuts that are expected during 2026, for which we're assuming the U.K. base rate will be 3.25% by the end of the year; secondly, we see -- we'll see further synergy -- the further -- a full year of the synergy benefit resulting from IW&I's client money balances moving on to the Rathbones banking model; and thirdly, the recognition of a full year of interest income on the net interest income line relating to the IW&I business, which was recognized within other income prior to migration. And with regards to advice income, we expect to see a similar rate of growth as we've seen in 2025. We continue to see significant opportunity for growth in our advice revenue, and whilst we see -- expect to see that, greater momentum is expected once we've established closer alignment between our investment managers -- investment management and advice offerings during 2026. Costs in 2026 will benefit from a full year of synergy delivery, bringing an additional GBP 16 million of benefit to 2026. Expenditure to support our strategic objectives includes the investment to consolidate our client life cycle and relationship management systems, which I touched on just earlier. We have also expanded our change capacity in 2026 as we look to accelerate the continuous improvement of our systems and processes. Staff costs are expected to be around GBP 10 million higher in 2026, driven predominantly by inflationary salary increases. The new client-facing remuneration scheme for the combined business was implemented within the existing level of cost but did involve some rebalancing of fixed variable costs -- fixed variable remuneration as we achieved alignment across the combined business. Inflation will, of course, continue to affect non-staff costs, but we do not currently expect to see a significant increase in the FSCS levy. Integration costs, which are reported within non-underlying costs, are expected to be significantly lower in 2026 at around GBP 17 million for the reasons I covered just earlier. So I appreciate the guidance. That guidance has covered a lot of ground, so I'll finish by just coming back to the main point, which is that whilst there are factors that will influence the level of the margin over the course of the year in 2026, based on our assumptions relating to FUMA, inflation and interest rates, we remain on track to reach a 30% margin in the fourth quarter of 2026. And with that, Jon and I will happily take your questions.
Benjamin Bathurst: It's Ben Bathurst from RBC. I've got questions in 3 areas if I may. Starting with FY '26 guidance, lots of moving parts, clearly. But with synergies now secured, what do you expect to be the equivalent of that GBP 31 million PBT benefit that you show on Slide 8 for 2025? What do you expect to be the equivalent for FY '26? And then secondly, on capital, as you mentioned, integration costs behind you, you should be more capital generative looking forward. Should we consider further future buyback as highly likely? And then just on the sort of the capital position at the year-end, GBP 108 million, I think, after the buyback, screens are slightly high. Are you holding back something there potentially for bolt-on activity? And then just finally, on the Salesforce versus InvestCloud decision, what are the benefits that have really informed your decision to invest again and incur that incremental cost?
Iain Hooley: Thanks, Ben. So taking those in turn then. So the synergy benefit for 2026 will be GBP 16 million, so that's effectively the full year of the 2025 synergy delivery coming through in 2026. So that will be an additional GBP 16 million. So that's in the guidance. In terms of the buyback, the reason we've gone for an additional GBP 20 million is because we could accommodate that within the existing program. And then the existing program involves -- doesn't involve Investec participating. So as we buy shares back, that concentrates Investec's holding back to closer to where it originally was at the time we did the -- when the transactions happened, not beyond that, of course, but up to that level. So it was simple to bolt that on and accommodate within that existing framework. If we want to go beyond that, things get a little bit more complicated. We need to go through a process to agree how we would manage that process of Investec's participation. So we continue to apply our capital allocation framework. We're fully committed to that. To the extent that we have capital that goes beyond our investment needs, we will continue to return that capital to shareholders. So we're not setting that out as a hard and fast rule, but you have our assurance that that's a discipline that we are very much focused on. I think that hopefully covers that capital question. Yes. On the CLM, the capital -- the InvestCloud decision, I mean, I think ultimately, we implemented InvestCloud to replace the -- to be our client life cycle management solution. I think it's fair to say it hasn't delivered everything we wanted it to. We've got some marginal benefits from it, but we see greater opportunity in moving on to the Salesforce system given the strategy and the focus on organic growth and building the foundation that will enable us to -- that will support that growth. So that's behind our decision to do that. And we feel we can implement that during the first 9 months of 2026. We've got Brad and Mike who are involved in that execution and very much focused on that. We already use Salesforce and XPlan in the business. So we have a high level of confidence that those will be readily implementable within that time frame.
Christiane Holstein: This is Christiane Holstein from Bank of America. I also have 3 questions. So firstly, maybe on net flows. So I know gross inflows started to improve towards the end of last year, but it still does seem a little softer following the IW&I integration. So just wondering what your expectations are there. And then if the guidance for 3% per annum growth for FUMA, does that imply expectations for still net outflows in 2026? Or how are you thinking about, yes, flows versus performance there? My second question is also on the client life cycle and relationship management system. So I understand with the whole shift in technology systems previously through IW&I that did impact IM productivity as they got used to the new systems. Could there be any potential for productivity impact here as well or just a teething process? And then my third question is on advice. So previously, this was quite a very exciting part of the business and potential for future growth. Just wondering how you're thinking about that now with risks for AI being front and center. And then how advice also now contributes to the margin target.
Jonathan Edward Sorrell: Yes. Thank you. So look, on flows, traditionally, we wouldn't comment on an outlook for flows specifically. The job now, as we'll talk about later, is to generate sustained net inflows going forward. I wouldn't read anything into that 3% FUMA beyond we're giving you a framework to think about what needs to happen in order to hit that margin target in Q4, and we're confident on the basis that Iain laid out with respect to FUMA growth, whether that comes from flows or the market this year and then what happens to interest rates and inflation. On the CLM system, you're right, I think the implementation of InvestCloud had, had an impact on IM productivity. The good news about moving to a solution that really combines Salesforce and Xplan is that those are 2 systems that are already part of our business, and so people are, to a greater extent, used to them already. But of course, there will be some friction on the implementation of any new system. But I wouldn't expect it to have the same magnitude of impact that we saw with InvestCloud. And then with respect to advice, not to steal any thunder from what's coming later. But it's just to say it is a very exciting opportunity, and with respect to AI, we see just potential huge benefits in terms of the productivity that will bring. And AI won't obviate the core of what our value proposition is to clients, which is trust and empathy and judgment, and you can take what AI brings you and add those elements and indeed spend much more time on them.
David McCann: It's David McCann from Deutsche Bank. I'll stick with the traditional 3 as well, please. And we'll start on that 3% again just to follow up on that previous question. So I obviously hear your comments. You're not going to comment on the flows and what we may or may not be able to read into that 3%. But should we better think of this as that's the minimum level you need to get to 30%? So presumably, if FUMA growth was more than 3%, we should expect more than 30%? That's the first question. Secondly, what is the dividend policy or payout ratio or growth however you're thinking about that going forward? That would be useful. I think traditionally, you've steered us in the direction it's like 2/3 payout ratio, but maybe that's no longer the right way to think about it. So yes, that would be useful. And then finally, the investments you're talking about, is all of this going to be OpEx? Or is some of this CapEx?
Iain Hooley: Okay. So just on the 3%, I mean, we've just made that assumption within there. And if FUMA grows, from whatever means, by 3%, then we will hit that margin target. I mean, clearly, we've got opportunities to invest as well as letting if any further future benefit if there's a further growth beyond 3%. But that, we think, is a reasonable basis on which we can deliver that 30% margin target. On the dividend, we don't set up the payout ratio as such, but our dividend policy remains progressive, and you can see from our track record how that progression has played out over the years. It's all part of the capital allocation framework. So to the extent that we generate more capital and there's a headroom between the dividend and total capital we generated beyond what we need to invest in the business, then we will continue to return that surplus to shareholders. And OpEx, yes, in terms of the investment in the strategic initiatives, yes, we don't envisage that being capital investment as such. We can see that being accommodated within our existing cost base. It's really about reprioritization of things. We can achieve further synergies in certain efficiencies in certain areas and redeploy that capital to areas that will deliver a better return. And that's all part of our capital discipline that we apply to all of our decisions that we want to make sure we are deploying capital and resources in the right place that delivers the right return.
Jacques-Henri Gaulard: Jacques-Henri Gaulard, Kepler Cheuvreux. Just one really. Thank you very much for the guidance on the operating margin, super comprehensive. But at the end of the day, if there is growth, is it worth remaining married to it? And would you remain married to it come to 2027 if the momentum of the business is actually good? And why not spend more money for one given set of growth?
Jonathan Edward Sorrell: You only had one question?
Jacques-Henri Gaulard: Yes.
Jonathan Edward Sorrell: Unheard of. Look, the 30% margin target is for Q4 of this year. I think your point more broadly longer term is exactly right. I mean what impacts our margins, obviously, some things are beyond our control, market movements, so on and so forth, interest rates. And I've received much feedback from shareholders that one shouldn't marry yourself to a target long term when there is growth to be had. So I'm sure we'll have a sensible discussion about that going forward, but the 30% target pertains to Q4 of this year. And on the basis that Iain laid out, we're confident of hitting that target. Okay. Any more questions? Perfect. Well, we're going to allow ourselves a 10-minute break if that's okay. And there's coffee outside. And if we could be back in here for 10:51, let's call it 10:50 -- 9:50 rather. 9:50, that would be great. Thank you. And I'll try and tell the time. [Break]
Jonathan Edward Sorrell: Okay. Thank you, everyone. I hope you enjoyed the break, and welcome back. Rathbones today stands at a moment of real opportunity, better positioned than we were 2 years ago, more settled than we were a year ago and more focused than any time since I joined. Over the past 2 years, we've succeeded in completing the largest integration in our industry's history to create a platform that is ready to perform. As Clive said, that involved enormous hard work, resilience and professionalism. And to our colleagues around the firm, I would just like to thank them for that extraordinary effort. To Paul Stockton and the team that delivered that integration, thank you for the opportunity that you've given us. And to our partners at Investec, thank you for your continued support. That chapter is complete, and now we move forward. Our vision is to build the best wealth manager in the U.K. by far, not because we're there now but because we aspire to set the standard in our industry. That's what our clients expect and deserve, and it's what we are committed to delivering. We operate in an attractive market that offers long-term growth, and we're already one of the leaders within it. We have the scale to invest in our capabilities. Our client base is strong. Our people are terrific, and our brand built through generations is trusted. Those are real advantages. But we do recognize that those advantages have not yet translated into organic growth. Recently, our growth has just not reflected the strength of our capabilities. Net flows have not been where they've needed to be. So our focus now is on execution and on delivering sustainable organic growth. The responsibility for that execution sits with me and our executive team. One day, we'll have the opportunity to participate in further consolidation in our industry, and we should be able to create very significant value when we do. But today, the greatest value is to optimize what we already have. If we execute well, our business has a powerful value creation algorithm. Durable growth across the cycle, whether that's through flows or performance, improving operating margins and strong capital generation all result in compounding shareholder returns, whether through earnings growth or multiple expansion. Today, I'll set out where we are, why the opportunity is compelling and how we'll measure progress. We have the platform. We have the team. We have the strategy. And now we must prove it. So before we look forward, it's worth remembering where Rathbones has come from. In the last 2 decades, the business has increased tenfold in terms of assets under management as a function of around a dozen deals, culminating, of course, in the combination with IW&I itself, the product of several acquisitions. And that means, today, we run GBP 116 billion of assets for over 119,000 clients. That scale is not the objective in and of itself, but it does give us the ability to invest in our people, in our technology, in our investment and financial planning capabilities and to deliver ultimately better outcomes for clients. Now the market we operate in offers real growth potential. U.K. household wealth stands at some GBP 2.8 trillion and is expected to grow to GBP 3.5 trillion by the end of the decade. One of the fastest-growing segments within that is clients with GBP 1 million to GBP 5 million of assets, and that's exactly where Rathbones is most concentrated. Demographics, regulation and significant intergenerational wealth transfer are driving sustained long-term demand, while the U.K. remains structurally underinvested in equities with too much wealth invested in cash. So this is not a cyclical opportunity. It's, rather, a long-term structural one. Now this slide is actually my happy place, where our opportunity becomes very, very real. We've identified a target market of nearly 3 million people in the U.K. who fit our potential target client profile, and today, we just serve 119,000 of them. That gap tells you everything that you need to know about the scale of the opportunity in front of us. This is not about stretching our proposition or chasing marginal targets. It's about reaching far more of the right ones earlier and quicker. We, and when I say we, Simonetta, knows exactly who they are, where they are and what they need, and we have low share across every segment. That gives us confidence to be much more intentional through digital acquisition, partnerships, business development and referrals in taking Rathbones to the market. Now the value of our business is in the longevity of our client relationships. The earlier we get clients onboard, the better. So instead of thinking about minimum account sizes, we want to think about the present value of our relationships. And we're not going to wait for that growth to come to us. We're going to go out there and find it. So we have a leading position in a market with long-term growth potential and a sizable opportunity ahead of us. We also have a right to win, which comes down to 3 things that are really hard to replicate. First of all, we're a pure-play wealth manager. We're not competing for resources with other parts of a broader group. We're not a distribution channel for someone else's products. That focus and specialism really matters to our clients and to our people. Second, we deliver comprehensive advice through a single long-term relationship, whether it's investment management, financial planning, trust, tax, banking, legal, not as fragmented products but as integrated counsel. Clients don't want to coordinate multiple advisers, and they want one trusted relationship that understands their full picture. This means we deliver excellent service standards. It's not just us saying it but our clients, for example, through our Trustpilot score of some 4.9, which is industry leading. Third, we've built deep expertise in segments where this model matters the most. Our private office, our charities, our court of protection businesses, ethical investments, intermediaries, international clients, these are not mass market segments. They require judgment, continuity and trust that's built over years, not quarters. Add to that our national footprint, our growing digital capabilities and the credibility that comes with the scale that we have, our public company status and a strong balance sheet. That is our right to win, and very few firms can match the quality, the depth, the continuity and the trust that we bring to clients. And even fewer can do it with scale whilst constantly raising standards. So we talked about the market opportunity, the clients that we're targeting and why our proposition stands out. The next question is how do we deliver this consistently at scale without losing what makes us distinctive. And the answer is that we built the business around 2 complementary capabilities. First, wealth management, over 700 client-facing advisers with deep tenure, 17 years on average for investment managers, 10 for financial planners, and that continuity matters because we know wealth is personal and long term. Clients get breadth and choice, full discretionary management, managed solutions, platform propositions and increasingly deep financial planning. We can tailor service intensity without losing the relationship model. Second, institutional quality investment capabilities through Rathbones Asset Management. RAM is a really special business. In my last 3 roles, I think I've met about 2,000 investment firms around the world, and it is exceptionally rare to see a culture that has produced sustained alpha over such a long period of time. RAM was established in 1989. It now manages GBP 16.6 billion across 29 funds. The team combines a boutique focus with strong discipline, 37 investment professionals averaging 25 years of experience, 16 of which are at Rathbones itself. And here's why that matters for our clients. RAM directly enhances our wealth propositions where it delivers clear performance advantages. The multi-asset engine powers our managed Select and MPS offerings with scale and consistency. Our growing range of single strategy funds strengthens that even further. RAM also drives our unified sustainability and stewardship approach. By bringing together Greenbank stewardship and RAM's research teams, we apply one philosophy across all propositions, including charities. So that's one standard and one approach. And the result is better outcomes, greater efficiency and more consistent wealth proposition across the group. RAM operates at arm's length with clear governance and oversight, ensuring accountability and keeping the focus firmly on client outcomes. It still though allows that expertise to flow across the group. We use RAM funds only where they deliver clear performance advantages for clients, and that discipline protects both the relationship and the outcomes. So this is a wealth-led business strengthened by disciplined investment capabilities. And with that foundation in place, let me now turn to our vision and what it means in practice. So as I said, our vision is to be the best wealth manager in the U.K. by far, again, not because we think we're here today but because we think this business has all the ingredients it needs to set the standard in our sector over time. Being the best for us is not about scale for its own sake. It's about delivering consistently strong outcomes for clients and building a business that performs sustainably through cycles. The question is not what we aspire to be. Now it's how we turn that ambition into reality and how we hold ourselves to account along the way. So turning that vision into action means being clear about what excellence looks like in practice, and for Rathbones, it comes down to 4 things. First, we must be the first choice for clients. That means having a world-class investment capability, advice that supports clients through their entire life cycle and a service experience that is proactive, personalized and effortless. Second, we must be the first choice for talent because long-term client outcomes depends on the quality and the motivation and the judgment of our people. Third, we have to be a really effective operator, simplifying how we run the business, using data and technology intelligently and allocating capital with real rigor. And finally, we are going to be the most reputable brand in our market, one that earns trust consistently through how we behave, not just what we say. These are demanding standards. We're deliberately setting the bar high, and we'll measure ourselves rigorously against each of them. Progress will be transparent and performance will be clear. So those are the 4 standards we're holding ourselves to. Let me now take each in turn, starting with the most important one, being the first choice for clients. So as I say, to be the first choice for clients, 3 things matter above all else: first, the world-class investment capability because long-term outcomes are the foundation of the trust that we have with our clients; second, advice and solutions that are honed for the entire client life cycle, supporting clients not just at a point in time but as their circumstances evolve and as Camilla is fond of saying, the right advice to the right client at the right time for the right cost; and third, a proactive, personalized and effortless service experience because performance is not enough in and of itself. So let me start with our investment capability in wealth, and then I'll move on to Asset Management. At its core, Rathbones is a long-term investment house built on judgment, discipline and stewardship of capital. We think in years and decades, not quarters, and we approach investing with a real ownership mindset. Our portfolios are constructed deliberately with thoughtful diversification, active risk management and a total portfolio perspective so that clients' capital is protected in difficult markets and positioned to compound over time. It's not about chasing short-term performance or fashionable themes. It's about consistent decision-making, valuation discipline and accountability for outcomes. And with a new CIO in place subject to regulatory approvals, we're strengthening our investment philosophy, sharpening that accountability and raising the bar on consistency, importantly, while preserving the judgment and independence that have always defined us. That combination, the long-term thinking, the disciplined risk management and accountable decision-making is what we believe defines a great investment house, which is what we aspire to be. Let me say a word on Asset Management because it matters, as I've said, to how this group invests and how we think about capital. Rathbones Asset Management is genuinely differentiated not because of any one individual but because of the culture and the structure it has built over time. And as I say, it's rare to see a business that has supported such consistent alpha generation over long periods without drifting into a hero culture or style dilution. The model is deliberately simple, small, empowered teams supported by high-quality external and internal research, making independent high conviction decisions. That clarity of responsibility is important and portfolio managers own their outcomes. Crucially, though, that freedom is balanced by strong institutional oversight. We've implemented Charles River and MSCI BarraOne to ensure that every risk taken is intentional, measured and continuously monitored. The underlying philosophy then essentially mirrors wealth, invest in quality businesses at sensible valuations, diversifying intelligently and adjust positioning as conditions change. The smaller teams retain that agility and judgment that many larger organizations might lose, and that's without sacrificing discipline. The second pillar of being the first choice for clients is advice that supports them across their entire lives, and financial planning is central to that. Today, planning penetration is around 14% by FUMA and 11% by client. With SHL now fully integrated, planning is happening more organically, but increasing penetration is a behavioral and a cultural shift across the group. This will build steadily rather than overnight, and we're certainly realistic about that. But where planning is embedded well, the impact is very clear. Offices like Manchester and Newcastle have developed what I would call a natural reflex to bring financial planners into client conversations. And that just creates a stronger, more joined-up proposition, and it's driving better flows. You see it in the numbers, deeper relationships and stronger retention. Planning really anchors the relationship across tax and retirement cash flow and succession and gives us continuity through generations. It moves us from managing portfolios to helping clients make better decisions over time. That is why the disciplined expansion of financial planning is one of the most important drivers of both better client outcomes and sustainable organic growth. And I'll just give you a very simple illustration of how this works in practice. In a number of cases, we already might manage a meaningful portfolio for one family member, while other assets sit elsewhere, often in pensions or outside the immediate relationship. By bringing financial planning into the conversation, we're able to identify those assets, align them to a client's wider objectives and consolidate management where it makes sense. That not only brings additional assets under advice, but it also surfaces future flows and opens up conversations around succession and intergenerational planning. But what matters most is that, that pattern is repeatable. So where teams really embed planning naturally, as I say, we see stronger flows, deeper relationships and better retention. And as I say, performance and advice only goes so far and clients also expect a service experience that feels personal and effortless. Our teams deliver this every day. With long-tenured investment managers and financial planners, clients benefit from real continuity, people who know them, understand their circumstances and provide consistently high levels of satisfaction through regular personal interaction. That human relationship remains the differentiator, particularly as clients' lives and finances become more complex. Client expectations are evolving, and we are deliberate about how we use technology to support that. We're investing in hybrid digital delivery to give clients flexibility and choice in how they engage with us, while maintaining the human connection that sets us apart. As part of that, we've listened carefully to client feedback following the migration. There were features in the Investec app that clients valued and selectively, we're bringing many of those capabilities back where they improve the experience. But at the same time, we have to be very clear about what we are and what we are not. Rathbones is not a DIY platform and our app does not need to replicate every possible function as a result. Its role is to give clients clarity, visibility and ease, acting as an extension and not a replacement of the advice or the relationship. So when I joined Rathbones, I became a client. I used the MyRathbones app most days. And I give the team plenty of feedback on how to make it better, and I know they appreciate that enormously. But jokes aside, this does reflect a real step change in how we serve clients digitally. And in recent months, we've introduced value over time reporting. We've improved accessibility, and we've strengthened resilience behind the scenes by removing dependencies on overnight processes amongst other things. And so that's exactly how we're modernizing. The human relationship stays absolutely central and digital simply makes the experience clearer, easier and more effortless for our clients. So that's the promise to our clients. Now let me show you how we measure whether we're delivering it. So before you all get too excited, we're not going to set explicit targets in every area that you see here. Instead, what we're doing is giving you ways of seeing how we're progressing against the standards that we've set ourselves. And these are metrics we monitor very closely internally. It's also important to be realistic. This is a journey. It's not an overnight shift, and these indicators aren't going to move in a straight line, and we don't expect to be best-in-class immediately. But what matters, of course, is the direction of progress over time. Because many of these measures are more meaningful over longer horizons, we'll report on them annually. So starting with investment capability. In wealth, we'll track for you asset-weighted annualized performance over 3 and 5 years versus ARC. In Asset Management, we will look at the percentage of assets outperforming benchmark or objective over 1 and 3 years. Second, financial planning penetration. As I mentioned earlier, we see a clear opportunity to learn from those top-performing offices and embed those behaviors more consistently across the group. And third, our Trustpilot rating. It's just one measure, but it's a proxy, if you like, for whether we are delivering a proactive, personalized and effortless experience, although this is something that Simonetta ensures we measure in many ways with samples of our client base. Over time, improvement across these measures should translate into better outcomes and ultimately stronger, more sustainable flows. So those are the measures that we'll use to show progress as the first choice for clients. And if we're the first choice for clients, we'll be well on our way to being somewhere that people want to work. And as I outlined, none of what I outlined is deliverable without the right people in the right environment, and to achieve our ambition, we also have to be the first choice for talent. If we want to deliver for clients and grow sustainably, we need people who choose Rathbones. They stay at Rathbones. They develop their careers at Rathbones and they do their best work here. And that, for us, comes down to 3 things: a great culture to work in; the right incentives to attract, retain and motivate our people; and AI-powered tools and processes that make doing business easier rather than harder. Let me take each of those in turn. Our culture is one of Rathbones' greatest strengths, and it's built on a total commitment to clients, a long-term mindset, collaboration and deep relationships developed through long tenure. But to deliver our strategy at the pace that's required, we just need to sharpen some of those behaviors. We need greater clarity and simplification, so teams focus on what matters most. We need more pace and intent with decision-making, and we need collaboration that brings in diverse views without slowing us down. So like all strengths, if overplayed, they become a risk. Bespoke approaches can add complexity. Consensus can slow decisions and long tenure without progression can dilute accountability. So our aim is simple. It's to keep what makes Rathbones special while strengthening the behaviors that will help us grow and succeed in our next chapter. Now our long-term success depends on the quality of our people across the whole organization. Skills, knowledge, judgment and stewardship matter everywhere at Rathbones, whether you're managing investments, advising clients, supporting front office teams or enabling the business to run well. And we want it to be clear to everyone what great looks like, how careers can develop here and what is required to progress. Today, our training is comprehensive. It's functional but perhaps a little fragmented. It builds technical capability in pockets, but it doesn't consistently develop institutional judgment at scale. At the same time, our industry faces, as we know, a growing shortage of experienced financial planners. And if we want to grow sustainably, we need to train more of our own. I'm very excited to say that our new Rathbones Institute will address both. It's going to create a unified approach to developing capability across the firm, strengthening technical expertise, deepening judgment and client stewardship and making career paths and expectations clearer and more consistent. It will support the next generation of investment professionals, planners and leaders while also raising standards and consistency across the whole organization. The model is deliberately focused and scalable, a senior leader soon to be recruited, a small central team and an AI-enabled digital learning platform supported by internal and external networks, not in a large stand-alone academy. Costs will remain manageable, I assure you. Launching in 2027, the Rathbones Institute will strengthen our culture, deepen our talent pipeline, enhance the client experience and support long-term growth. The second pillar of being the first choice for talent is making sure our incentives drive the right behaviors. We want every decision at Rathbones to start with a simple question. How does this help our client? Everyone contributes here to the client experience, so everyone has a role in growing the business, and our incentive structures now reflect that. For front office teams, we introduced a new remuneration scheme this year. It's simple, transparent and formula-driven, reinforcing sustainable growth and the behaviors that matters most for our clients. For enablement teams, we've introduced the Rathbones Growth Unit Scheme. This is paid in shares over 3 years and linked to improvement in net flows in wealth, and it ensures that colleagues who support client-facing teams share directly in the value that they help create. Together, these incentives send a clear message: when we grow in the right way, deliver for clients and work as one team, everyone shares in that success. Now this slide brings together our approach to AI and more broadly, how we're using technology to make doing business easier across Rathbones. We recognize we're still just in the foothills of the application of AI, but the potential is real, and we've only just seen its impact. Our approach is pragmatic. It's governed and it's value-led. Copilot is now enterprise-wide. In the front office, AI is improving suitability processes and oversight. And across our data and client platforms, AI is already giving us cleaner data and much sharper insight. But one thing we've definitely learned is this. Technology only works as well as the processes beneath it. So alongside AI, we've been doing a lot of work to simplify and modernize core processes so that the technology can deliver at its best. We've set up what we call 2 swim lanes. The first is removing friction, and we identified, back in the summer, about 100 friction points in the business that have already been addressed. We've actually knocked about 80 of them on the head. And as people see those issues being fixed, they've surfaced about another 75, which is exactly what you want, a culture of continuous improvement rather than just acceptance of workarounds. But I use those numbers to demonstrate the intensity with which we are addressing those issues. The second swim lane is reinventing some of our core processes. This is a big opportunity. We started with onboarding and a team disaggregated that process into around 1,000 features. And we have identified 90 improvements that are in the pipeline. We're about 1/4 of the way through at this point because this is where productivity and the client experience are won or lost. So looking ahead, the next phase is deeper integration, extending AI right into core workflows with governed agents across all functions, front office, finance, risk, compliance, people and so forth. On AI itself, the potential is huge. We don't know exactly how long this is all going to take, but the rate of improvement is really, really encouraging. If we systematically embed these capabilities into how we operate and advise, the prize is significant, higher quality of service, much cleaner execution and materially better productivity, all while keeping human judgment and relationships at the center. We are delighted to have Brad here leading the charge in this respect, and as I commented earlier, he does seem a little high on AI, which is great. So whether it's culture incentives or technology, the common thread is the same. We're trying to make it easier for our people to do great work. As with clients, the key question is how do we know this is working. And that brings me on to how we measure progress as the first choice for talent. So we'll measure and report progress on this goal. The first is employee engagement because people, obviously, who are engaged do better work, make better decisions and better outcomes are delivered for clients. The second is the retention of high-performing and high-potential colleagues. That tells us whether people see a future for themselves at Rathbones and whether our culture, development and incentives are working. And the third is the adoption of AI and digital tools across the business, not as a technology scorecard but as evidence that processes are becoming simpler and that our people have better tools to do their jobs well. These aren't the only measures we use internally, but they provide a transparent way for you to see whether we're creating an environment where people can thrive and whether that is translating into stronger execution and over time, better outcomes for our clients. So our third strategic objective is to become the most effective operator in our industry. And for us, that comes down to 3 things. First is sharpening our commercial focus, using data consistently to guide decisions and allocate effort where it creates most value. Second is simplifying how we operate. So the firm is integrated, efficient and genuinely easy to do business with for clients and colleagues alike. And third, applying real discipline to how we deploy capital, ensuring that every investment we make earns its place and delivers meaningful returns. So I'll take each one of those in turn, starting with commercial excellence. So let's talk about how we use data to improve the quality, consistency and effectiveness of our commercial performance across both inflows and outflows. Our first priority in becoming a more effective operator is sharpening this commercial performance. And we're doing that by using data far more consistently across the business. To put this into context, currently, we generate about half of our flows from existing clients and the other half from new clients, a sign, if you like, of strong relationships and strong market appeal. The question then is how we build on that momentum. So we're doing that by focusing on the segments where we create the most value, for example, professionals, business owners and executives, supported by stronger brand visibility and more targeted digital acquisition. And within our existing client base, financial planning, as I've said, remains a powerful lever for engagement and ultimately, share of wallet. At the same time, we are reshaping client-facing teams, so they have the capacity, capability and data to act earlier and more effectively, supported by a much more integrated approach across Jayne's world in distribution, Sim in marketing and Camilla in Wealth. And I just want to give you one illustration of the behavioral shift that this is driving. And this is one of my favorite stories from my time at Rathbones so far. We've been working with a small group of colleagues. We've christened them the cubs, who've been in the firm for about 10 years, generally actually from graduates. And they were looking for opportunities to go out there and win new business. So we started with a small pilot group, supported by coaching and by data. And they collectively, this is 12 people, reached out to about 1,000 prospects in the first 12 weeks. And the early results from that outreach are really encouraging, and that group of 12 has now scaled to a group of 75 across the front office, all of whom are now embarking on the same thing. And that embodies exactly what we're trying to do. We want to go out to where the business is. We want to do it in a way where we support people with coaching, make it more effective with data. And who knew, it's easier than people thought, and it's a lot more fun. And it's going to be really rewarding because of the incentive scheme that I mentioned earlier. So all of this is underpinned by more rigorous performance management and commercial excellence coaching, and that's going to drive consistency and productivity and ultimately, stronger inflows. We're applying the same thought and discipline to outflows. Again, to provide context, roughly 60% of our outflows relate to spending, and the rest is split equally between mortality and taxes on the one hand and client departures on the other. Our focus is on identifying risk earlier, acting more consistently and meeting more client needs within Rathbones. We are introducing a predictive AI-enabled model that flags assets at risk sooner, giving advisers more time to intervene. And that's alongside a standardized business-at-risk playbook so that our responses are consistent and effective. We're also strengthening our proposition at key moments, including retirement and expanding services that deepen loyalty. As I've said earlier, financial planning remains one of the most powerful levers for retention. When clients move to a holistic plan, engagement and longevity increase materially. So I'll give you an example. A long-standing family that has more than GBP 10 million of assets with us told us they were considering moving to a competitor, offering a so-called one-stop shop as they entered retirement. Because of the strength of the relationship we had, they were open about it, and we responded quickly, bringing together investment management, planning, legal and trust expertise in a single coordinated conversation. That client chose to stay. They expanded their use of financial planning, and they're now transferring additional assets as part of a multigenerational estate planning exercise. This is now the Camilla-Jayne playbook for rescuing situations and making something of them. The point is straightforward. We act early and present a genuinely integrated One Rathbones proposition. We retain assets. We deepen relationships and create more value for clients and then the shareholder. The second part of becoming the most effective operator is simplifying how we run the business. Post integration, we saw clear opportunities to remove complexity, strengthen alignment and operate in just a much more focused and efficient way. So first is our operating structure. We are going to bring related capabilities together to work as a unified team. A good example is integrating Greenbank's expertise into RAM and our central research teams, creating a single sustainability center of excellence with consistent research and stewardship across propositions. Second is governance. I've yet to meet anyone at Rathbones who wants another committee. So we are streamlining governance. We're reducing duplication, and we're simplifying decision-making so that accountability is clearer and pace improves. Third, systems and efficiency. You heard earlier about extending Salesforce and replacing systems that weren't working for us. Our new COO, Mike Turner, along with Brad, our CTO, is leading a unified platform -- program to modernize systems so that they're faster, cleaner and more aligned to how we want to operate. Enterprise AI tools now have about 95% adoption rates, automating routine work and reducing friction. Together, these changes are making the organization less siloed, more connected, more effective and freeing up time for our people to focus on clients. The third pillar of being the most effective operator is capital efficiency. We are applying much greater discipline to how we deploy capital. That means being selective about technology investments, ensuring that our marketing spend is directly attributable to flows and only pursuing team hires when it strengthens our organic growth trajectory. Every investment has to earn its place and improve returns on capital. Over time, this approach drives continuous improvement in how we operate, improves returns on invested capital and ensures that growth is both sustainable and value accretive. So capital discipline is the final enabler, making sure every investment earns its place and improves how we operate. The question then, how do we know this is working, and that brings me on to how we'll measure our progress. Our primary focus is a return to net inflows in wealth. We are not setting a specific target or time line, but we firmly believe this is achievable now that integration is behind us and the organization is aligned. We also want everyone to think of themselves as client facing, and we'll, therefore, monitor client-facing hours per adviser with the explicit aim of stripping out inefficient processes and freeing up time for advice, conversations and outreach. And finally, we'll apply strict discipline to capital allocation using return on capital employed as a core measure, ensuring that every investment, whether in marketing, technology or people, earns its place. So that's how we drive execution through commercial focus, operational simplicity and capital discipline and how we measure progress along the way. The final pillar is about how we are known. To sustain growth and earn trust over decades, we also need to be the most reputable brand in our market. Rathbones was founded in 1742, and that heritage really matters. But that reputation is -- it's not inherited. It's earned every day through how we behave and how we deliver consistently. Our focus is on 3 things: a relevant and distinctive identity, clear leadership grounded in purpose, and efficient amplification so that we stand -- so that what we stand for resonates more strongly with the audiences that matters most. It's not just about being louder. It's about being clearer, more consistent and more trusted. So in 2025, we refreshed our identity and our purpose, invest well, live well. This wasn't just a cosmetic exercise. It reflects what Rathbones has always stood for, helping clients make good decisions with their money so they can live the lives they want, expressed in a way that's clearer, more human and more relevant today. The characteristics you see on this slide underpin how we run the business, long-term thinking, unconflicted advice, deep relationships, high integrity. Feedback from clients has been really positive, and importantly, the fresh -- the refreshed identity resonates with a much broader demographic, which obviously matters if we want to grow while staying true to who we are. Reputation in our industry is built on trust, and trust comes from expertise, judgment and consistency. We build that trust by contributing meaningfully to the conversations that matter to our stakeholders, whether that's clients, colleagues, the media, policymakers or the communities that we serve. Through thought leadership, policy engagement and community outreach, we bring relevant expert insight. We look for areas where we have deep expertise and where our voice adds value in pensions, the budget and so forth. This is about showing leadership through real substance and in reinforcing that Rathbones is a firm that people can rely on through cycles. The third element is amplification, efficient amplification, making sure our reputation and expertise are visible where it matters. This has been an area transformed in the last 18 months or so. Our marketing, digital and public relations team work as one, amplifying content and insight through our own channels but critically through earned and paid media, social platforms and independent client review sites. We also bring the brand to life locally, events that matter to the communities in which we operate. And those events actually remain the bread and butter of client engagement in our industry, and we really do run some exceptional ones from the Chelsea Flower Show to LAPADA to our box at Lord's, where I'm still awaiting my invite, just to mention. I am a client. But what really differentiates us is discipline. We track the commercial performance of every event, every event, and Simonetta and her team use a rigorous methodology to attribute flows properly and understand returns on marketing investment. And last year alone, when our activity is just getting up and running, our marketing activity as a whole generated more than GBP 500 million of flows. And it's a clear example about how thoughtful brand visibility delivered with total discipline converts directly into growth. So to understand whether we are building the most reputable brand in our market, we track 3 objective measures: first, client advocacy. We monitor our NPS and our position relative to peers. The NPS is 63. That puts us second out of the 9 in our peer group that we monitor, and that's a strong foundation that we want to build on. Second, corporate reputation. This is assessed independently through an external reputation index using public data, and it forms the baseline for a more comprehensive measure now in development. As our identity purpose and leadership activity build momentum, we expect to see progress here over time. And third, prospect visibility. Our brand awareness and consideration among clients with more than 250,000 of investable assets today, that awareness figure sits at 33%, measured again through an independent national survey, and improving it is a clear opportunity. Together, these measures give us a rounded objective view of brand performance, how clients feel about us, how we're perceived publicly and how attractive we are to future clients. So Rathbones is entering a new chapter, and we are a leading player in an attractive and an expanding market. We have a strong right to win, supported by breadth, service and reputation. We have a clear strategy focused on organic growth, and we have a new executive team that is ready to deliver. And I believe we're uniquely positioned to be the best wealth manager in the U.K. by far. Thank you. And now we'll go to Q&A.
Rae Maile: Just letting you get comfortable first.
Jonathan Edward Sorrell: Someone else? No. Okay. Go on.
Rae Maile: Rae Maile, Panmure Liberum. No, no one else goes first. Jon, I mean, you've laid out an awful lot which needs to be done over the course of the next 1, 2, 3 years. Out of all of those things which you've discussed today, what are the 2 or 3 which are most important to be cracking on with right now? And can you talk a little bit about the internal hurdles to actually achieving any of those?
Jonathan Edward Sorrell: Look, I think this is, as you say, a pretty detailed strategy, and we're very clear on what we need to do here to drive growth. If you're forcing me to say what the 2 or 3 things are, I think if I had a button to push, it would be to put great technology into this business. So I think that's the foundation of a lot of what we're talking about. I think inculcating an appropriately commercial culture in the organization is a huge win to come. I talked about that group of cubs. It's just such an encouraging initiative with huge amounts of potential. And look, we have to make sure that from a process perspective that we make it really super easy to do business at Rathbones, and that will be the lubricant in the machine, the engine to get all of this going. So if you're going to force me to name 3 things, that's it.
David McCann: Dave McCann from Deutsche Bank. Three questions linked to that presentation, Jonathan. So first one, you touched on the new comp -- the variable comp structure. Can you just give us some color on what are the key drivers of that? What's actually going to motivate people? What do they actually care about, so we can, I guess, judge that? Beyond sort of variable pay, in this quest to deliver more flow, do you think you're going to have to invest more in capacity than you've already got, so more people, more systems and so forth? You touched on some of it in the shorter term. But I guess what I'm getting to here is, is the 30% operating margin target beyond Q4 of this year, is that actually sustainable if you have to invest a bit more to actually get these flows that we all want. And then finally, I know you're not going to give any specific targets on the flows. You said that a number of times today, but you have said you want to be the best wealth manager in the U.K. I mean, to my mind, the best scaled player in this market is delivering above 5% net organic growth. So is that ultimately where you need to be longer term if you're going to be the best in the U.K.?
Jonathan Edward Sorrell: Okay. Thank you. So on the new comp structure, essentially, it's team-based and formula-driven, as I say. There's a percentage of revenues that are paid to the team and their bonus is that percentage of revenues less their bonus, certain expense items, but it's done in a very clean, simple way. And what that does is motivate people to bring business in, and if they retain that for a long period of time, they can do very well out of that. So it's nicely aligned in that respect. And that whole compensation structure, as you would also expect, is subject to conduct requirements and so forth. Second, do we need to invest more in capacity? So that's why the Rathbones Institute to me is so important. We want to give fabulous career paths to people in the business. I think one thing Rathbones has done exceptionally well actually from what I can see is take graduates in -- I think at a scale, it's quite big actually for a business of our size -- and develop their careers over the long term. What I've noticed is you often meet people who, as with that group of cubs but elsewhere in the business, have started at Rathbones and are still here 10 years later. I think that tells you quite a lot about how special the place is. But through that institute, people will have a mechanism where they can say, if I want to go on career path X,Y or Z, I know precisely what I need to do. And my point to your question on capacity is there is a capacity in the industry generally in terms of the availability, the number of financial advisers and so forth. And so we really want to develop our own wherever possible. We think that we can absorb the investment that's required in everything that we just talked about within our existing cost base as we seek opportunities to simplify and automate the business and get productivity gains through AI. We won't be shy in time. If we find a great way to allocate capital in our business, we won't be shy about coming back and explaining that and telling you how we're going to invest that money. But at the moment, in our base case, we think, as I say, that investment is absorbable. And so that takes you on to your question about the margin, which is a perfectly reasonable one. But I'm just very conscious as we are as a team of all the things that go into a margin target. We had something very specific for Q4 of this year, driven by the delivery of the integration benefits that we had spoken about. I think I've known you for a long time, David, and that goes back to Man days. You know that we're going to operate with real discipline, but we're committing to that margin target for Q4 and not beyond. On the net flows, I think you're right to put the aspiration for net flows in that context. There is no time scale, as I said, on hitting that, but I think, as you say, that's a reasonable measure to point out in terms of what success looks like for flows.
Unknown Analyst: Two, I'm a bit surprised not to have any numbers even on a 2- to 3-year view because you have levers. You have the excess capital lever. You have the cost lever as well. So I was wondering what made you cautious in a way. That was the first one. And the second, a little bit cheeky. When you arrived, you said that you wanted to be the best wealth manager in the U.K. And I noticed that today, you want to be the best wealth manager in the U.K. by far. I was wondering where that came from.
Jonathan Edward Sorrell: So on the no numbers, look, we -- I don't think in a business like this, it makes sense to set an artificial arbitrary target within an even more arbitrary time frame. This is all about consistency of purpose and delivery, delivery, delivery. So what we've done is given you measures where you can see the progress that's being made that should translate into those sustainable flows. So that's a really long way of not answering your question. On the point about the by far, we as a GC have spent several days debating our strategy, debating what our vision should be and what our aspirations should be. And the by far comes from us as a group, which is that we look at where we are in the industry. We're amongst its leaders. We punch, I think, a little bit above our weight actually in terms of our win rate on new business as we look at situations that are in our pipeline. But that's our aspiration, and that's the standard that we want to set for ourselves, and I think that's a good thing.
Christiane Holstein: This is Christiane Holstein again from Bank of America. Just 3 questions. So firstly, on timing, I know you haven't given any explicit time frame. But how quickly do you expect to start to see the benefits of the strategy? And at what point do you expect a meaningful improvement in your targets? My second question on costs. So you haven't outlined any additional costs to put this in place, but some of the initiatives do seem like they might need costs. So for example, the institute or restructuring of staff remuneration. So just wondering where those costs are going to be reallocated from. And then thirdly, on culture. So this is obviously quite a big component of your target. And there seems, over the past 6 months, that there's been quite a few changes within Rathbones, whether that's the integration of IW&I or the new leadership team and everything. Just wondering how staff morale is, attrition, yes, how that's going internally.
Jonathan Edward Sorrell: Thank you. So on the time frame, I think it would be reasonable to say that you would want to start seeing some level of improvement within a 12-month time frame, but it's not going to be a marked change. And then I think if you don't see a meaningful change over a 3- or 4-year period, there's probably someone else sitting here explaining that to you. So I have accountability for the delivery of that sustainable organic growth. On the cost side, you mentioned 2 things. As I said, as an overall point, we think we can absorb these costs within our existing cost base as we simplify and automate elements of our business. The institute, as I say, is not a big, shiny new building. It is a small team. We're in the process of recruiting a senior leader. There will be a few people around that person. The training platform is digitally enabled. Let's just put the context of the hiring piece, if I can put it like that, alongside the cost of not having a shiny new building. So look, we have 125 financial planners, I think it is today, and as I said, we have 11% penetration by client, 14% by FUMA. You look at the most effective offices and they're operating at a penetration rate of 35%, 40%, something like that. I'm not sure where we can end up over time, but let's just say, for the sake of argument, it's somewhere between the 2. You're going to have some big productivity gains from technology in the intervening period. But let's say we hire 50 or 75 new financial planners at the sort of costs that a new hire would bring, that's totally absorbable in the context of our P&L. Staff remuneration, just to be clear, that the new front office scheme was cost neutral, so the implementation of that was not designed to save or make money. That's cost neutral. The RGU scheme, which we're very excited about, is incremental to the cost base but obviously very aligned with growth. So if we achieve that organic growth, you're all going to give us a much higher PE, and everyone will be happy. On the culture, I would say staff morale, the integration, it's very easy. I used to be -- I'm a reformed investment banker. We used to advise people on deals. It was gloriously simple because we could advise on the deal, sign a contract and then move on with our life. But this integration, of course, is -- has been a colossal effort, a massive effort over a couple of years, and there are really 3 phases to that integration. You have the migration of client assets, which happened just before I arrived. I swanned in and all the hard work was done. You have the integration piece, again, before -- largely before I arrived, which is sad and it's stressful because it means saying goodbye to valued colleagues. And then you have the harmonization is the third part. So if you have 2 AML process, for example, you would tend to move to the higher common denominator. All of that is a huge amount of work. So when the Chairman and I and others thank our colleagues for the amount of work that's gone into this, we really, really mean it. And to your question on morale, I think that was -- became a real grind by the end of last year. And people really needed their Christmas break. And I'm pleased to report people have come back refreshed and energetic, and we're now going at it again. And that's reflected in the attrition. The attrition in the front office is about 2.8%, something like that for the business as a whole, 6.5%. So the attrition even through that period has been good, which is a testament to my predecessor, Paul Stockton's leadership skills and the culture that we have at Rathbones.
Stuart Duncan: Stuart Duncan from Peel Hunt. Can I take you back to your happy slide, Jon, and just some of the opportunity of the younger cohorts? How much of a focus is that for you as a business? And is there anything you sort of specifically need to do as an organization to attract more of these younger customers?
Jonathan Edward Sorrell: That's it?
Stuart Duncan: Just the one question, boring. Yes.
Jonathan Edward Sorrell: Yes. So it's a really important point. The younger cohort is really important. So the value in our business model is in this longevity of the client relationship, 25, 30 years, should be longer. And so I mentioned in the presentation that we want to look at -- rather than looking at minimum account sizes, we want to look at the present value of the client relationship that we can bring in, which is all to say, I'd much rather have 10,000 new 30-year-old high-earning potential clients this year than GBP 2 billion of net flows in the abstract, right? And so getting to the younger cohorts of clients is really important. And that's one of the reasons -- another reason why that cubs initiative is really very important because they can go out and relate perhaps a little bit more easily than some people to that generation of clients. But it's not just about that outreach from Jayne's business development team or from people within the IM and financial planning community. It's about the digital marketing piece as well. And with the new branding that we have, I think that has also fundamentally altered the accessibility and the appeal of our brand to a much broader demographic. So that's all to play for and a really exciting feature. And I think about those 3 million people and the fact Simonetta knows where they all are, and that's very exciting.
Benjamin Bathurst: Ben Bathurst from RBC again. Two questions this time. Firstly, on market segmentation, you referenced you're operating in targeted segments now, private office, charities to name a couple. I think it's right in saying that you pointed to the opportunity in the mass market. Does that mean that there's a requirement for you to sort of broaden your appeal outside of those areas of strength? Or are you thinking of focusing more on getting more out of those targeted segments as described? And then secondly, on AI, how prescriptive do you intend to be in terms of investment manager usage of AI? is there going to be an edict from the center? And do you intend to sort of monitor this usage to improve productivity?
Jonathan Edward Sorrell: Yes. So sorry if I wasn't clear on this market segmentation point. I think the point I was making was that when you look at the segments that we target, private office, charities, intermediaries, ethical investments and so forth, the right to win that I described really matters in those segments. It's not a mass market proposition. That was the point I was making. And just to be clear, we're not looking to go into the mass market. So just to be really clear on that, I'm sorry if I wasn't as I spoke, but those -- the point you made wasn't the one I was trying to make. On AI usage and edict, I don't think edicts work in a business like this, frankly, number one. And number two, I don't think you need an edict. I mean this is something that should stand to reason. And I think what you're trying to do in many parts of the business is create capabilities that people feel genuinely compelled to use. And look, we've all gone through our own cycle of learning how to use AI tools, and I use them much more than I did 12 months ago and 6 months before that. And I think people are on that journey. But certainly, with the introduction of Copilot and 1 or 2 other things that we're using on the financial planning side as well, I think people are really seeing huge benefits from that. And as we all know, the quality of what these things are able to do now is materially better than it was even 6 months ago. So that's certainly my own personal experience of it. So no edict, but it just stands to reason.
Benjamin Bathurst: What about [indiscernible]
Jonathan Edward Sorrell: My edict to you is use a microphone.
Benjamin Bathurst: You just told me you didn't believe in edicts.
Jonathan Edward Sorrell: For you, it's fine.
Benjamin Bathurst: Yes. Will you be monitoring, if not edicting, monitoring usage of AI? Would you be monitoring it if you're not edicting it?
Jonathan Edward Sorrell: Well, there is a measure, which is really important, of the number of hours that we think AI is saving. And so that is something that we're monitoring. It's basically something that comes automatically to us through the platforms that we use. It's not something that we need to gather ourselves, but beyond that, no.
Michael Sanderson: Michael Sanderson from Barclays here. Just I'll go with the 2 because that's become fashionable, it would appear, now. The first one is there's obviously been a couple of ownership changes or prospective ownership changes of what would be perceived as peers of yours. And I suppose I'm interested how you think about that in this moment of growth and the opportunities, whether it's hiring, client targeting, et cetera, et cetera. So interested how you're approaching that element. Second piece, I totally understand and think the advice piece is very interesting. I'm just interested about the higher penetrating offices that you mentioned. Is there anything particular about those offices, whether it's the nature of the clients, nature -- sort of relative age, relative wealth that has meant it particularly powerful that may not be so relevant in some of the other offices for any reason?
Jonathan Edward Sorrell: Yes. Look, on the first point, we're in an industry that has, I think, 42 private equity-backed players of some description, and so naturally, that space will consolidate over time. There are going to be more sellers than buyers, I would have thought, over time. And that, as I mentioned earlier, 1 day, could be a really good opportunity for us. In the context of the 2 or 3 deals that might have happened more recently, that may throw up some opportunities for clients who aren't necessarily fans of the situation or certain people. And as you'd expect, we're pretty focused on those sorts of opportunities. With respect to higher penetration, it's a fantastic question because it took us a little while to figure out what the answer was. And I think it's actually really simple, which is in Manchester and Newcastle, what they've just done a fabulous job with is just working together from the start. So it's just embedded in the way they go about their business, the way they think. I've mentioned it as a reflex. It's just the obvious thing to do. Now one thing we have done with the new incentive scheme is cleared up the debate that used to exist about how economics might be split between the 2 functions. So I'm not sure that was the sole problem, but if economics ever got in the way, that's being cleared up once and for all through the implementation of the new scheme. So I think that helps. I think also you just get anecdotal evidence. There was a very good one, the -- from a few months ago, I think it was Camilla, where we'd actually lost a pitch for a piece of business, and we've just gone in with an investment management proposition. And I think Camilla probably raised an eyebrow and said how about the whole financial planning thing. And we went back and we won, and it was a GBP 5 million piece of business. And I think those sort of moments, you have pennies dropping, but it's a matter of developing that reflex. And I think if we get that reflex in the organization, that's a big opportunity. Does that answer your question? Any more online?
Unknown Attendee: Yes, I've got one online for you. Question from Paul Bryant from Equity Development. Jonathan, I understand the banking services you provide clients. But in your review of the business over the last few years -- over the last few months, have you thought about whether you need to keep your banking license in-house?
Jonathan Edward Sorrell: Yes. So a bit of an old chestnut, this one, as I understand it. I'm not the first person to raise this question. But look, when you look at the return on capital that we get through our banking license, it's in line with our requirements. And then importantly, it's obviously a great glue in the client relationships. It's not hugely widespread in its use around the business, but it is really useful glue in the relationship. Third, I would just add that we're one to relinquish the banking license that comes with quite heavy operational requirements on the client money side as well. So all to say that it has been a focus. I believe it's been something that's come up for debate many, many times over the years, but we're comfortable with where we are right now. And there may indeed be, on the margin, some opportunities to deploy some more balance sheet to our clients but just on the margins. And that's it. Thank you very much for coming in today, as I say, heroically on this Friday. Please do stay around and have a coffee with some of my colleagues. I wouldn't get too close. We've got quite a nasty bug circulating since the middle of January, so keep the distance. Maybe open a window. But thank you very much to everyone. Thank you.